Operator: Welcome to the Booz Allen Hamilton's Earnings Call Covering Second Quarter Results for Fiscal 2015. (Operator Instructions). I would now like to turn the call over to Mr. Curt Riggle.
Curt Riggle: Thank you, Shannon. Thank you all for joining us for Booz Allen's second quarter 2015 earnings announcement. We have also provided presentation slides on our website and are now on slide 1. I'm Curt Wriggle, Head of Investor Relations and with me to talk about our business and financial results this morning are Ralph Shrader, our Chairman and Chief Executive Officer, Horacio Rozanski, our President and Chief Operating Officer and Kevin Cook, Senior Vice President and Chief Financial Officer. We hope you have had an opportunity to read the press release for our second quarter earnings that we issued earlier this morning. As shown on the disclaimer on slide 2, please keep in mind that some of the items that we will be discussing this morning will include statements that may be considered forward-looking and therefore are subject to known and unknown risks and uncertainties, which may cause our actual results in future periods to differ materially from forecasted results. Those risks and uncertainties include among other things general economic conditions, the availability of government funding for our company services and other factors discussed in today's earnings release and set forth under the forward-looking statements disclaimer included in our second quarter fiscal 2015 earnings release and our SEC filings. We caution you not to place undue reliance on any forward-looking statements that we may make today and remind you we assume no obligation to update or revise the information discussed on this call. During today's call we will also discuss non-GAAP financial measures and other metrics we believe provide useful information for investors. We include an explanation of adjustments and other reconciliations of our non-GAAP measures to the most comparable GAAP measures in our second quarter fiscal 2015 slides. Before we continue, I would like to say thank you to our analyst's community a number of which have been with us since the IPO and welcome to those who have recently added us to their coverage universe. We now have 13 analysts, the most of any of our public comps. I think that’s a good thing right? So thank you and welcome. It's now my pleasure to turn the call over to Ralph Shrader, our CEO and he will start on slide 3.
Ralph Shrader: Thank you Curt, I would like to add my welcome and thanks to all of you, our analyst and investors for joining us here this morning. Last year at this time we had just emerged from the government shut down which brought great disruption and cost to our nation and let the major repercussions for our government clients and the contracting community at large. While still not fully recovered, the environment today has improved and stabilized and I'm pleased to say that this morning as we report Booz Allen's fiscal 2015 second quarter results, corresponding with the end of the government's fiscal year, we are clearly seeing the benefits of an improved award climate. For Booz Allen this has resulted in a seasonally strong book-to-bill ratio and an increase in fund and unfunded backlog. Our revenue for the second quarter declined modestly as expected given the residual impact of last year's shutdown and ongoing challenges in the broader federal contracting market. And I'm very happy to report that Booz Allen's earnings are well on track with our annual forecast and we are again on track to deliver margin improvement for the full fiscal year. Quarter-after-quarter since our IPO in 2010, we have told you what we expect to do, to increase margins and deliver against our earnings forecast and I'm proud to report that we have continued to do just that. Here are the financial headlines. Second quarter revenue was $1.30 billion, compared with 1.38 billion in the prior year period, a 5.3% decline. Adjusted diluted earnings per share was $0.44 for the second quarter compared with $0.47 per share in the prior year quarter. We saw positive trends in adjusted EBITDA margin, free cash flow, day sales outstanding funded and unfunded backlog and book-to-bill ratio. And we’re reaffirming our revenue guidance and increasing the midpoint of our earnings per share range by $0.3 for fiscal year 2015. We declared a regular dividend of $0.11 per share payable on November 28, 2014 to stockholders of record as of November 10, 2014. This reflects our ongoing confidence in the business and our commitment to return value to our shareholders. Kevin will provide more details on our financial results and the underlying drivers of those results later on this morning's call. In addition to delivering solid financial results for the current quarter, Booz Allen is focused squarely on the future. We have maintained our delivery and selling capability, enabling us to bid and win important procurements, especially those requiring a solution as part of the proposal and we continue to invest significantly in innovative capabilities in areas such as predictive intelligence, engineering, systems development and advanced analytics which we believe put Booz Allen in a strong position to serve our government clients in their essential missions. Additionally, investments in our commercial and international business are delivering strong results and showing impressive growth rates. As a result of our investment in these growth platforms, we believe Booz Allen is positioned to return to top line growth sooner than others in our market. Last year at this time, as we were counting down to Booz Allen's 100th anniversary in 2014, I announced our Centennial Community Challenge, an ambitious goal to contribute 100,000 hours of volunteer service during our anniversary year. I'm incredibly proud to tell you that we reached this milestone three weeks ago and by December 31, on our 100th anniversary year ends, Booz Allen's employees will have significantly exceeded 100,000 hours of community service. The impact of our employees' time and talent can be seen in children who read better, future scientists hooked on learning and innovation, animals with loving homes, solace to those who are suffering and healing and hope to the sick. The generosity, compassion and hard work of Booz Allen's people have truly made a difference. In other notable community outreach the Booz Allen sponsored the Degas/Cassatt exhibition at nearly 400,000 visitors making it among the most successful exhibitions at the National Gallery of Art in the past decade and Booz Allen will be the presenting sponsor of the upcoming Veteran's Day commemoration at the USS Midway Museum in San Diego. We dedicated our Centennial Year of 2014 to partnership and service, with two months still to go, I hope you share my pride in all that we’ve achieved. This is my lasted earnings call as the CEO and I want to take this opportunity to thank Booz Allen's incomparable people, our clients, our nonprofit partners in the community and you, our investors for your unwavering support. It has been a privilege to be part of this firm for 40 years and to lead it for the past 15. Going forward in my continuing role as Chairman of the Board, I will focus on shareholder value and risk management. I will personally remain connected with this great institution and I will support the firm's next generation of leaders in whom I have the greatest confidence. Now over to you, Horacio.
Horacio Rozanski: Thank you Ralph and good morning everyone. At Booz Allen our partners live by a simple creed, that we hold the firm in trust for future generations. Ralph, I cannot think of anybody who represents those words better than you. You have led Booz Allen through periods of growth and change, positioning us today as a market leader with a superb reputation, strong financials, a clear vision and an exceptional team that is prepared to drive growth and innovation in the future. Ralph all of us congratulate and honor you for your leadership as our CEO and we know we will be well served by your continued guidance as Chairman of the Board. Let us now turn to the business at hand and to slide 4, during our last earnings call, I gave you a high level overview of Vision 2020 and noted that we would use upcoming earnings calls to provide additional color on our growth platforms. To summarize, Vision 2020 is a comprehensive strategy to position Booz Allen to grow in our second century. We can be best described in three building blocks. First, expanding our capacity to serve as our client's essential partner through a combination of deep domain understanding, market leading consulting talent and broader technical capabilities. Second, investing in differentiated growth platforms including engineering, software development, our innovation agenda and our new commercial international markets. And third, building a distinctive business and people model to mobilize the best of our people in our culture across a broader range of markets, services and solutions. So today, I would like to update you on the progress in our North American commercial business. To remind you of the context, we re-entered the commercial market in 2011 after the expiration of a non-compete resulting from the spinoff of Booze & Co. three years earlier. Returning to commercial in 2011, we specifically focused our service offerings on areas where we could leverage the most relevant intellectual capital from our government business. Our three most compelling service offerings fall in the broad categories of military grade cyber security, next generation analytics, i.e., big data and regulatory compliance. We focus on clients in three primary verticals of financial services, healthcare and energy but our unique expertise particularly in cyber has begun to draw clients from manufacturing and retail as well. Under Lloyd Howell and Reginald Van Lee leadership our North American commercial business is growing well into double digits with a margin structure that promises to be 2 to 3 times that of our core government business overtime. We now have a portfolio of blue chip clients and we have also built an outstanding commercial team that works hand in hand with strategic innovation group and our brother Booz Allen staff to do amazing work for those clients. So to give you a little more clear color, let me describe some of the excellent work we are doing in commercial. The first area is cyber security, every week it seems there is a greater pressure and concern about cyber security in the board room of U.S. Corporations. Our approach with clients is holistic and can lead to sustainable protection. As we speak, we are helping major clients to identify lurking attackers before they hit, using our unique predictive intelligence services. We combine that predictive shield with a broad range of big data and network analysis approaches to ensure that the adversaries are completely out of our client's networks if they have been penetrated and we help clients build their own fusion centers similar to the ones pioneered in the Federal Government so they can expand their cyber defenses over time. In ours, on our client's views nobody else has the technical, consulting and trade craft expertise that Booz Allen brings to bear. Now shifting gears to an example of next generation analytics, we are working with a pharmaceutical company by using big data techniques to help them increase the production yield and availability of a critical medicine. The secrets to a better yield were hidden in elements of the manufacturing process that generate massive amounts of data. There was information from shop floor systems, maintenance systems and building management systems among others, but analyzing this source of information through conventional means was way too costly and time-consuming. So Booz Allen data scientist worked with the client to perform cloud analytics employing architecture approach we call the Data Lake. This concept pioneered by our firm allows us to use the massive processing power of the cloud itself to analyze vast amounts of data from diverse sources at incredible speeds. In the end, we help the client come up with conclusive findings of our production yield variances in just three months and since then the team has been begun to apply the new data analysis approach to additional lifesaving medicines to ensure efficiency and ensure a plentiful supply. This commercial work leverages the best of Booz Allen by combining intellectual capital from across our business with a deep reservoir of expertise and consulting skill and while it is a work in progress, we are very optimistic of our prospects for continued growth in the commercial market. Finally today, I would like to cover some recent and breaking news. Last week we announced the purchase of the healthcare assets of Genova Technologies, which includes a staff of about 40 people who provide IT solutions and strategies for the centers for Medicare and Medicaid services. Our partner Susan Penfield and Kristine Martin Anderson led this effort and they will integrate this new team into our ongoing support for CMS to position us for growth of our technology footprint in the future. On the breaking news front I'm very pleased to announce today that we’ve acquired Epidemico, Inc., a small but very exciting Boston-based startup. Epidemico, informatics company, they provide early insights, continuous monitoring and consumer engagement across many important aspects of population health, including disease outbreaks, drug safety and supply chain vulnerabilities. This is the capability that enabled its staff members to detect and track the outbreak of Ebola earlier this spring. The Epidemico acquisition was led by partners Fred Blackburn and Jay Jacobsen [ph] and it will reside Karen Dahut's leadership. Karen and I are confident that Epidemico will play an important role in our broad next gen analytic strategy by bringing lead analogist for epidemiology and social media analytics as well as relationships with world class institutions like Boston Children's Hospital. Ultimately, we want to deploy a full portfolio of analytic platforms on solutions to address the critical needs of our client base. Later this morning we'll release details of this acquisition and more information about its alignment with our innovation agenda. All the various topics we discussed today are an example of transformative efforts going on across our firm and I could not be more excited about the progress we are making and what it means for our future. I hope you are too. At this point I would like to turn the call over for our Chief Financial Officer, Kevin Cook, who will provide you with his insights on our financial results.
Kevin Cook: Thank you, Horacio. As Ralph noted earlier we have completed the first half of fiscal 2015 and a strong position with margins up over the prior year's first half, forward activity leading to growth in funded and unfunded backlog and a book-to-bill ratio in-line with our expectations. Additionally we saw headcounts stabilize over the June quarter and while revenues are down you'll see that this is a second consecutive quarter in which the rate of revenue declines has slowed year-over-year. All of these positive outcomes give us confirmation that our strategy is on track and I give credit to Booz Allen staff and leadership for their collective execution in what continues to be a challenging market. Operationally we saw continuing strengths in the second quarter. Staff productivity remains high, we’re maintaining effective management of our cost structure, to profitability on contracts and task orders remain strong. Further, while we saw a decline in staffing from the year ago period the staffing level remained relatively plat from the first quarter of the fiscal 2015 and our strong award performance at the end of the government's fiscal year has now given us the opportunity to begin to increase the pace of hiring. Now I would like to go through the specifics of our performance in the second quarter and then discuss our fiscal 2015 guidance. To begin, let's turn to slide 5. The 5.3% revenue decline was the result of reduced demand in the current government spending environment, as well as residual impact of the slower award pace in the months immediately following last October's government shutdown. Additionally we saw decline in billable expenses which as we have noted in the past are lower margin revenue sources. Operating income declined by 10 .1% and adjusted operating income declined by 10.7% over the prior year period. These declines are attributable to revenue declines were mitigated somewhat by volume based reductions in compensation costs and related fringe benefits and to a lesser extent a decrease in depreciation and amortization expense. Adjusted EBITDA margin of 10.6% in the quarter benefited from effective management of staff productivity and the qualification for a certain state tax credit, a portion of which benefits our indirect rates and therefore benefits EBITDA. Year-to-date the adjusted EBITDA margin of 11.2% is in-line with our forecast and this occurred last year is expected to decline in the second half as a result of higher indirect spending and higher costs for fringe benefits including holidays and paid time off. The factor that drove these decreases in net income and adjusted net income compared to the prior year period were largely the result of the factors affecting operating income and adjusted operating income, but partially offset by the benefit of lower effective tax rate as a result of the company's qualification during the second quarter for the state tax credit I mentioned a moment ago. I'll note here that this tax credit is responsible for a reduced effective tax rate in the quarter and in the full year guidance. In the second quarter, diluted earnings per share decreased to $0.42 per share from $.45 per share in the prior year period. Adjusted include earnings per share declined to $0.44 per share compared to $0.47 per share in the prior year period. The per share earnings were driven by the same factors as net income and adjusted net income with the decreases seen in these metrics also impacted by an increase in the diluted share count. Our funded backlog increased 3.6% over strong prior year period to $3.4 billion and unfunded backlog increased by 3.1% to $2.8 billion. Our book-to-bill ratio for the second quarter was 1.93, a significant increase over the 1.58 ratio from a year ago. With the second quarter award activity we’re reporting today, I think it's important to note the improvement in the ramp we have seen in the first half of fiscal 2015, over the first half of 2014. Book-to-bill for the first half of fiscal 15 was 1.4 times, compared to the 1.04 times that we saw in the first half of fiscal 2014. The last thing I would like to discuss relative to backlog is the decline in priced options. This decline has been driven by continuing trend toward awards for shorter periods of performance as well as the timing of contract extension and transitions between current and follow-on contracts. I would also like to remind you that we only include items in our backlog for which we have received signed, contractual obligations, definitive contracts, task orders or modifications. We do not include forecasted, factored or potential revenue in our backlog. Next, let's move to cash. Cash flow generation continues to be a source of significant strength for Booz Allen. Free cash flow in the first half increased 44% over the prior year period to $191.6 million. Cash generation in the quarter benefited from stronger collections and a decrease in cash taxes paid as compared to the second quarter of fiscal 2014. Cash also saw the benefit of reduced principle payments on our Term Loan B debt, which we described last quarter. We announced today another regulatory quarterly cash dividend of $0.11 per share, which remains the top priority for our use of cash. As we have said many times before acquisitions remain our next priority and with today's Epidemico announcement and the recent announcement of the acquisition of the assets associated with the healthcare unit of Genova Tech, you can see that we’re actively pursuing opportunities to build capability in strategically important areas. The next priority for capital deployment is to return cash to shareholders through special dividends and with the increased liquidity in our stock, the Board may also consider share repurchases as well. With that backdrop, let's turn to slide 6 and I will discuss our guidance. For the full year of fiscal 2015, we’re reaffirming our top line revenue guidance which calls for a mid-single digit percentage decline. Based on performance in the first half and our forecast for the second half, we are increasing our full year earnings per share guidance and narrowing the range. At the bottom line for fiscal year 2015, we are increasing our guidance for diluted earnings per share to be in the range of $1.48 to $1.56 per share and adjusted diluted earnings per share to be in the range of $1.54 to $1.62 per share. For adjusted diluted earnings per share this is a $0.03 increase to the midpoint of our range. Now I would like to turn the call back to Curt so we can move to the Q&A portion of the call.
Curt Riggle: Thank you Kevin, Horacio and Ralph. Shannon at this point can you please provide instructions for the question and answer session of the call.
Operator: (Operator Instructions). Our first question is from Bill Loomis of Stifel Nicolaus. You may begin.
Bill Loomis – Stifel Nicolaus: Just looking at the awards, can you talk a little more – you said the duration is shortening on the awards. Can you give us you know, maybe be a little more specific on that? What you are seeing in the quarter specifically with the 1.9 book-to-bill? On what clients are doing? And you know, also talk about margins, how much was new versus recompetes, and my follow-up is, just tell us the extent that you are hiring ahead now. I know in the past, prior to last year, you would hire pretty aggressively in the summer. What are your plans and what is going on now in hiring ahead?
Ralph Shrader: Well let's start with the price options that I think you asked about first. I think you may be aware, but maybe not everybody on the phone is, the government the federal government has started to focus on recompeting contracts every three years, whereas before a lot of our major contracts were five years in length. There are some still large contracts out there that are buying vehicles such as oasis and things like that that are 10 years, but you know, the average period of performance on the contracts that have been awarded I would saying over the past year or so has declined roughly about a month, I would say. What's having – maybe even a larger impact, Bill, is that when the government chooses to extend contracts instead of award new contracts and where we are the prime, what is happening is when they extend it six months or a year that funding goes directly into the funded and unfunded as opposed to when they award the recompete, we would see lower amounts going into funded-unfunded and more going into priced options. So it skews the components of our backlog a little bit based on what's going on in the marketplace. When we look at the second quarter and the 1.93 book-to-bill, we had a very broad based increase across all of our markets. Civil and defense and intelligence, all showed very nice increases. It wasn't focused in any one account within any one market; it truly was broad based. From a margin perspective, we continue to see strong margins. I would point out, we had this discussion at this time last year when we had a very strong first half and we talked about increasing our rate of investment in the second half. We will also see that same thing occur this year. So I caution everybody not to take the first half and multiply by two, I think that’s the same guidance we provided last year. And from a hiring perspective, we are beginning to ramp up the hiring, as we have said. That is something that's been a bit different from the past couple of years, anyway, in that with the backlog that has come in. We feel confident that adding the heads will allow us to drive additional top line growth. I think I covered all your questions Bill.
Operator: Thank you. Our next question is from Carter Copeland of Barclays. You may begin.
Carter Copeland – Barclays: Couple of questions, the first one more, Horacio, I wondered if you might expand a little bit on the commentary around the commercial and healthcare and the recent transactions and you know, as you look ahead in that marketplace, how fragmented is that space from how you guys would like to approach the market? I mean how many sorts of transactions are out there? And do they fit together in any way thematically? Or should we think that this – each one of these transactions is a kind of one-off or niche provider that you can use to leverage your existing business or to your existing client base in some way any color you can give us on that?
Horacio Rozanski: Yes sure, I appreciate the question first of all. I think if you look at what we have said is we have a set of focused growth platforms. And they include things like software development, engineering, advanced analytics, the innovation agenda, commercial international. And so we’re investing organically on those. And when the opportunity presents itself to do something novel and interesting that’s inorganic, we'll take it. And so I think you can fit these last two transactions and the two transactions we did a couple of years ago, they hang perfectly from that framework. The other thing I think is meaningful, at least for me in this is both of these transactions happened in a way where we were providing for the sellers, it wasn't just about the money. It really was about they had a passion for what they did, they built something important and they felt that it was important for them to connect it up with Booz Allen and with our growth prospects. And so the cultural fit, coming in is also very strong, which is something we look at. And then finally, as a result of that, we weren't necessarily the highest bidder in these transactions. They were done, I think at very fair pricing but they were done in a way that, it benefited everybody. So to the extent that things like that are out there, we continue to look whether they come in sort of smaller pieces or larger pieces will depend on the platform in this whole area of social media analytics and bio-surveillance and so forth, there are large players in the hundreds of millions of dollars that we would be interested in. So you’re looking at startups, Epidemico is an amazing story in terms of what they bring and what they have achieved and so working at that side made sense. Another areas, the opportunities will probably come in in bigger chunks and we'll – one of the things I have learned is you have to in some ways take what the market gives you. And we have been working through that very deliberately to make sure these things are on strategy.
Carter Copeland – Barclays: And as a follow-up, I'm not sure exactly what you want to say, but obviously last night a big transaction in the space announced. And given your commentary about the bifurcation in the market, in the past from you know, to a sort of low cost and high value, you know sort of providers in this marketplace. I think last night's transaction saw a combination of two companies or proposed combination of two companies that kind of would go in between there, and I think the commentary was suggestive of you know, some sort of new level of cost effectiveness, I think is the theme And I think in some of your traditional customer sets. When you look at, you know, potential business combinations like that, like the one that was announced, do you think that that could introduce any sort of pricing pressure that's incremental from where we are today? Or do you think you are sufficiently insulated in your offering and your capabilities that's not something you worry about?
Horacio Rozanski: First of all, we really would want to use as much of the call as possible to talk about our performance and how we have done. We are pretty proud of what we have accomplished, including this past quarter and we'll refrain from commenting on specific competitor moves and things like that at the higher thematic level this notion that the market is bifurcating. I would probably argue to you that this transaction fits into that narrative and into that logic quite well. And that you know, we are – generally speaking, not going head to head with these kinds of companies and the kinds of things they are going to do together. So, beyond that I think we’re very comfortable with both our strategy and our performance and our progress against our strategy and we expect to see us as winners and losers emerge in this very difficult market that there will be more interesting transactions to ponder over.
Operator: Thank you. Our next question is from Robert Spingham of Credit Sussie. You may begin.
Robert Spingham – Credit Sussie: Kevin, question for you on the margins, if I could? And then I have a question on bookings and sales but on the margins, you talked a little bit about the decline in EBITDA year-on-year, but still we have adjusted EBITDA dropping about double the rate of sales. I understand that cost won't go up later in the year. So a little curious as to why we see this now. Is this reflective to some extent of pricing? And acknowledging the fact these margins are still pretty good. Are we seeing some pricing effect here?
Kevin Cook: Rob, we are not seeing the pricing effect. I mean if you look at the first half for example, we’re up at our adjusted EBITDA margin over last year by about 11 basis points. We have costs that go back and forth between quarters during the year we’re right on track from where we would hope to be.
Robert Spingham – Credit Sussie: But relative perhaps to the first quarter, the numbers just seem to move around a bit and not all of it seems to be cost. So, I'm just wondering if the revenue change isn't simply billable hours, and pass throughs, but also – that's why I asked the pricing question. And then I have another question on the cost.
Kevin Cook: The billable expenses are down at a higher percent than what we call – if you remember back in the day we call it value added revenue which is Booz Allen internally generated labor and that actually has a lower margin tied to it. But we had additional business proposal expense in the second quarter that we normally see at this time of year, as opposed to our first quarter, which ends the end of June. So there is a lot of dynamics that flow through our costs, but it has really very little to do with pricing pressure as all. Our margins are holding exactly where we thought they would be.
Robert Spingham – Credit Sussie: Okay and then just from a cadence perspective, you reminded us not just to double the first half performance for the second half because of the higher investment. Will that show up in G&A as it did last year as primarily a fiscal fourth quarter item?
Kevin Cook: Some of it will be in G&A and some of it will run through our cost of sales. It really depends on how we invest.
Robert Spingham – Credit Sussie: Okay and then, just as a final question on the bookings, very strong in the first half, this I guess perhaps for Horacio. The book-to-bill clearly very strong, it sounds like duration is changing a little bit, but does this mark the bottom in the government service business? And might we expect next year to be an up year? Or would you instead, expect to see bookings offset a little bit here in the fiscal second half? How do we think about that from a forward perspective?
Horacio Rozanski: I guess I could tell to you wait and ask me this question until after the election next week, but I would probably refuse to answer it then too. I think the honest answer is we have been investing to grow in this market regardless of what the market gives us. And we’re looking for ways to lean forward and try to do that. There is still a lot of turbulence ahead and there is things in the political process that I wish I could predict, but I don't think any of us can. And so I think we’re – the specific timing of things is sort of an interesting thing and the question about the market, overall, is also sort of an interesting, philosophical question. The way we are picking it up is much more about what are we doing to try and drive growth, what are we doing to invest in our future? And against those metrics, I think the sort of the numbers that you’re seeing are a reflection more of that, than necessarily of the overall market.
Robert Spingham – Credit Sussie: I would characterize it as significantly different than last year, these first two quarter in terms of orders.
Horacio Rozanski: I think that is true. I think that’s – and it's driven by a lot of factors, some of which is the clients having visibility into their budgets, more than sort of three months at a chunk or three weeks at a chunk, allows them to start to really focus on mission and when they focus on mission, we have the ability to work with them and that naturally leads to sales and so that’s sort of the underlying cycle that we believe over time will return to this market almost, regardless of the political process. But the political process can throw monkey wrenches along the way. 
Operator: Thank you. Our next question is from Cai von Rumohr of Cowen and Company. You may begin.
Cai von Rumohr – Cowen and Company: So maybe tell us a little bit about the tone of bookings? What you are seeing no? I think you were the only one to kind of say you’re seeing business pick up. Most of your peers are saying yes a little bit, it is more mixed. What are you seeing today? And obviously last year you had an abnormal bookings quarter. I think you’re more normally in the 0.6 book-to-bill in this quarter. But give us some color on what you are seeing today?
Kevin Cook: We actually are historically way over 1.0 in the September quarter, I think. Last quarter – or last year this time it was 1.58, it was 2.15 the year before that. We actually – I think the good news for us, I don't know about others but speaking for us, we actually saw some bookings occur in our first quarter that ended the end of June. That quarter was actually higher, much higher than it was last year. So when you look at the first half we’re definitely seeing an increase in award activity. I think some of this, people – our clients have delayed awarding contracts, waiting for some budget clarity and when they got it last spring they moved out on making some awards that had been held up. There are still quite a number afterwards out there and in fact we are anticipating continued heavy proposal activity over the next six months, as a lot of these major procurements get teed up finally. Now by the time they get awarded we’re probably talking our FY ‘16 or FY ‘17 impact but I think it is a good sign that the clients are dropping these proposals.
Cai von Rumohr – Cowen and Company: And secondly as a follow-up, maybe give us a little bit more color on the financials of these two acquisitions, you know, what do they bring in sales? Essentially what did you pay? What was the price to EBITDA? And then you mentioned that you think that you guys will be one of the first in your sector to see revenues go into positive territory. Any chance that could happen in the fourth quarter?
Kevin Cook: Well let's start with the acquisitions first. Cai, from a GAAP perspective and almost any measurement perspective, financially speaking, these are very immaterial acquisitions. And in fact as you – since you brought it up, I'll tell you I really don't have any intention of trying to split out organic and inorganic revenue over the next year for these two. They are very minor. The key to these acquisitions is not their sales, it's the – it's the impact on our – on Booz Allen Hamilton's organic revenue and taking the capabilities that these two firms offer and marrying them up with what we already have which is going to drive synergies and higher organic growth in these two cases specifically in the commercial and government health markets as well as others potentially. So we’re really at a point where if we have a larger acquisition, we'll be happy to provide the details you have asked for, but these are immaterial from a GAAP perspective and almost any other perspective so we are not going to do that. In this current fiscal year, I'll tell you there won't be any accretion because of the transaction expenses. We do expect there to be modest accretion in our FY ‘16 but that's about as far as I'll go.
Cai von Rumohr – Cowen and Company: And then to the second one is there any chance that your revenues could be in positive territory by the fourth quarter?
Kevin Cook: I think that we are going to stick with our annual guidance of mid-single digit decline. We don't get into the quarters. So I think I'll just leave it at that.
Operator: Thank you. Our next question is from Edward Caso of Wells Fargo Securities. You may begin.
Edward Caso – Wells Fargo Securities: I'm curious if the continuing resolution and the potential may get extended out into the March period, how that may impact your view on the market and if for some miraculous reason it goes away in December could that improve the outlook?
Kevin Cook: Actually our outlook is just fine. We are pretty bullish on our opportunities going forward. But I think in general the CR [ph] this year is not the factor it's been in years past, because this year's sequestration budget level or I should say the level coming out of the Budget Control Act is not substantially different from being flat for the last government fiscal year that just ended. So, I really don't think this is providing that much of a challenge for say DoD, right now. I was lucky enough recently to have – to attend a luncheon with the DoD's CFO and he has much said the same thing, that it's really, this initial CR., going into December probably doesn't change a lot for them. I think if it goes all year it might become more of an impact but I would expect to see this get resolved if not December then maybe early in the first calendar quarter. Right now we’re not anticipating that being a headwind for us.
Edward Caso – Wells Fargo Securities: My other question is a math question. You changed the guidance by $0.3, state tax benefit is $0.2 and your average share count guidance went down, even though your stock has been performing strongly. So I'm curious why it went down and that sounds like a math of about another penny. So do I have it right the $0.3 is the tax and the share count?
Kevin Cook: Now on an annual basis the tax impact is less than a penny. And the share count is just the normal evaluation we do quarter-over-quarter about option grants, option exercises, restricted stock grants. So nothing more than that, I think it's down about maybe what a million shares?
Ralph Shrader: Yes.
Kevin Cook: Something like that. So the majority of this really had nothing to do with those two factors.
Operator: Thank you. Our next question is from Joe Nadol of JPMorgan. You may begin.
Joe Nadol – JPMorgan: I would like to ask my first question just – back on the strategy and M&A component of the strategy specifically, Horacio, I think you said much earlier in the year maybe even late last year that you were looking at getting more involved in M&A. And we see, we haven't seen anything for most of the year and now a couple of very interesting but as Kevin pointed out very small deals from a financial standpoint. Is this what you were referring to a year ago? Or nine months ago when you said that you were looking at getting more action active in M&A? Or is there more to this than – this is sort of very beginning of a broader strategy?
Horacio Rozanski: As I said last year and I think I'll reiterate it, we were looking at both organic and inorganic investment to double down on our strategy and that includes a set of growth platforms, we are focused on them. And if we find acquisition targets that fit them that make sense culturally, that are at a good price. We’re ready to act and we have now built the internal capability to do so. The speed at which they happen and the size of all of that is really more dictated by what we find and how excited we get about what is there, we’re in a good position both financially and marketwise and strategically and so we’re not going to make acquisitions just to make acquisitions. And so if we find the things that fit like these two – we think we are demonstrating, we stand ready to act. And if we don't, we don't. And it's you know, maybe no more, no less of that.
Joe Nadol – JPMorgan: Okay. And then, on the second question, I know, I'm not asking you to provide quarterly guidance I know you are not going to do that, but last year, of course we had the shutdown which impacted your company. And so as we think about the profile here into the back half of the year not just on revenue but more importantly the way you manage your spend and your expenses, is there any comment you want to make on that? Or should we just look to prior years to get a sense?
Ralph Shrader: Joe, I think the second half of this year will be similar to last year, in that we will be ramping up our internal investments. So for example on the last earnings call Horacio talked about our expansion in the Mid-East and a lot of those the cost of that expansion is going to flow into the second half of our fiscal year. Likewise, while we have tried to smooth out because we didn't anticipate a shutdown this year, we've invested a little bit earlier than we did last year in some of these growth areas. But still, you can't calendarize it and say we’re going to spend 1/12th of the anticipated budget each month, so that is somewhat back loaded albeit not maybe as much as last year. So we still anticipate spending the cost that we budgeted on these – I should say on internal investments. So, I think it would be a similar pattern to last year. I think Curt in the first quarter call also or maybe it was in last year's final call, talked about lower highs and his higher lows. And so I would expect you can see we are $0.3 down in the first half and maybe we'll be a little bit above the second half at the bottom line than we did last year but that’s the kind of trend we’re looking at.
Operator: Thank you. Our next question comes from Steven Cahall of Royal Bank of Canada. You may begin.
Steven Cahall – Royal Bank of Canada: Maybe just first on the comment about potentially returning to organic growth sooner than the others, I was wondering if you can just maybe give us a little bit of a view on how you are seeing your major end markets trending? And if we think about that comment over a sort of medium term time horizon, is either civil or intel or defense doing something significantly different than what it's been doing for the last couple of years? For instance is civil starting to pick up pace? Is the rate of defense slowing, not slowing, etcetera, in terms of the growth decelerations? So a little bit of color around that would be very helpful.
Ralph Shrader: I guess what I would say about that is the number one issue that we have been dealing with is not the overall size of the market or direction of the market, but the uncertainty that our clients face in terms of their own budgets. And that has been particularly true in DoD, but it's really been true everywhere. And that uncertainty was dampened significantly when they reached a two year agreement and they had a little more visibility. And again they could get back to performing against remissions and advancing the remissions [ph]. And I think that is true across largely all of the Federal Government, if you can make generalizations which are always dangerous. Inside of that, it's you know, what you would expect there is some parts of the government that are going to continue to expand the services that are required. We all read about the VA and the challenges of the VA has and the funding that the VA is going to receive to take care of the population that is coming back from the conflicts and make sure their needs are met. Other parts are going to shrink to accommodate that and you know what we are – I guess the greatest asset we have as that shifts is ultimately our cultural and our business model and the uniqueness of that and the fact that we shipped resources to where the opportunities are and that we do that well and we have been doing it forever. We have a leadership team that collaborates and it's focused on that. We have an entire partnership really an entire culture of 22,000 people who are going to go answer the call of where the opportunity is and the needs are without having to worry about internal questions about P&Ls and incentives or any of that nonsense. And so that's been the hallmark of Booz Allen, that’s being the power of Booz Allen, really, over the last 20 years and it's what I think it's going to propel us in the future as well, is that if we – if one of our clients' needs us and has enough visibility to funding to actually be able to buy from us, we'll bring the best of Booz Allen to bear to that and we will shift with the market as the market shifts.
Steven Cahall – Royal Bank of Canada: Okay and then, Kevin you mentioned share repurchases. Again I mean it's not something we have seen a lot of in terms of impacting the share count. So how do we think about both the management team and the Board in terms of possibly taking that on? And do we think about share count possibly stabilizing in the future? And we’re offsetting creep? Or do we think about it possibly going down at some point?
Kevin Cook: Well Steve, I think the reality is now that Carlyle has put something like 30 million shares in the market in the last year. We have more liquidity than we certainly had at the IPO date four years ago. And so when we talk about it, it's really that the Board has that option open to them now. Clearly it was an option before. We have a $30 million authorization to repurchase shares. We have never done that, but I think it's more viable now and it will be more part of our quarterly board discussion to say that we’re going in that direction versus special dividends. I don't think it would be accurate. But it's – I think it's got a greater possibility now maybe than it did a year or two ago. And from a share count, long term share count view. I think over time we would like to try to keep share count somewhat flat. But you know, that's really up to the Board. We have been able to make our guidance anticipating share count increases. And so it's not something that we have to do but that may be something we choose to do or the future will tell I guess.
Operator: Thank you. Our next question comes from Jason Gursky of Citi. You may begin.
Unidentified Analyst: It's actually John for Jason. On the growth opportunity going forward it seems like a lot of that might be coming from new businesses. We have heard that over time especially commercial international should be higher margin. I was wondering about near term in light of that can you revisit your 10 basis point annual margin growth guidance in light of the investments you have to make and also in light of the fact you’re performing that so far year-to-date?
Kevin Cook: I don't think we need to do any acquisitions to have our margins increase. We have demonstrated since the IPO, I mean, Curt probably has chatted with Jason that we probably had the worst margins in the industry at that time, now we have the best. And with the growth platforms that Horacio and Ralph have talked about in the past, those come with higher margins, normally, even in the government space. And then we throw in the rapid acceleration in the commercial and international businesses and our ability to control our costs. We are still very, very comfortable with that 10 basis point goal on an annual basis. You’re right, we are well over achieving that, again through the first half, but as I said earlier, we will see decreases in the second half as we invest heavier, if you will. But still we should, absolutely meet that goal in FY ‘15.
Unidentified Analyst: Okay then as a quick follow-up for Horacio, you talked about uncertainty having been the biggest impact in the market. How should we think about it and over the next year we seem pretty clear but then sequestration is supposed to return in late 2015 I suppose? How do you see that playing out given the conversations you have had so far?
Horacio Rozanski: I think there is a lot of questions about that and there is a lot of – there is as many scenarios as there are people that talk about them. So I think the reality is you know – we have to focus on what we can control, which is our performance, our investment, our focus as a business. And staying close to our clients and working closely with them and I think that's what we are doing. That’s what we are up to – I think the political process will be what it is and the impact of that will ultimately influence the market for sure. But from our perspective – we have focus on flexibility and agility for the last 4 or 5 years. We, as a result, have been able to really outperform the market not just when it was going up but also when it was going down and we are committed to continuing do the same and all the flexibility and agility didn't stop last year. We continued to focus on it, continued to drive it and at the end of the day, that's the game we are going to play against whatever either challenges or opportunities the fiscal process creates.
Operator: Thank you. Our next question is from Ronald Epstein of Bank of America Merrill Lynch. You may begin.
Ronald Epstein – Bank of America Merrill Lynch: Just a couple of quick questions, maybe big picture questions, when we think about the expansion into more commercial and international businesses, when do you expect that business to pick up? I guess how are you doing in that market? And you know what bottlenecks have you seen? And then maybe follow-on to that maybe part of the same question actually is also in commercial cyber, how big of an opportunity is that for you guys?
Ralph Shrader: Well, I guess the way I would describe it is we are – we’re excited about what we have accomplished and the progress that we have made and the opportunities that are there because our service offerings, the ones that we’re choosing to transport into the commercial market are viewed by our clients as differentiated and that's been really our goal – our view, my view, you don't go into a market that is mature and try and succeed through me too service offerings. You go and bring something new and something different and we've done that in the area which I guess the term is, military grade cyber. The work that we’re doing there as measured by clients, unique and distinctive and is creating growth in both the U.S. and in MENA. Our work on analytics is beginning to prove to be both unique and very special and very powerful and we see opportunities there and we will continue to both invest in that and drive that and see where the market takes us and continue to both meet demands and meet and perhaps exceed our own expectations for how fast we can grow there.
Operator: Thank you. I would now like to turn the conference back over to Ralph Shrader for closing remarks.
Ralph Shrader: Well thank you. And I hope we have conveyed our pride in Booz Allen's business and financial performance in the fiscal 2015 second quarter. and the first half which just ended. And also our optimism in the future. We’re particularly proud of our bottom line performance as reflected in our ability to raise our forecast. We are also proud of our increase in funded and unfunded backlog, our strong book-to-bill ratio and our strong cash position. As we mentioned earlier this indeed, is my last earnings call as a CEO, and therefore my last opportunity to sign off. And I wanted to thank you, our investors for your support. I hope you share my pride in what we have been able to accomplish in the four years since our IPO in spite of a very challenging mark. Booz Allen has consistently delivered our earnings guidance and improved our margins and delivered excellent shareholder returns. I'm very excited and confident about the future. I can assure you that the firm is in very good hands with our next generation of leaders and I want to thank you all for joining us on this journey together and thank you for being with us today.